Operator: Good afternoon. My name is Shomaria and I will be your conference operator today. At this time, I would like to welcome everyone to the Citrix Systems Fourth Quarter and 2011 Financial Results Conference Call. [Operator Instructions] I would now like to introduce Mr. Eduardo Fleites, Vice President of Investor Relations. Mr. Fleites, you may begin your conference.
Eduardo Fleites: Thank you, Shomaria. Good afternoon, everyone, and thank you for joining us for today's call, where we will be discussing Citrix's Fourth Quarter and Fiscal Year 2011 Financial Results. Participating in the call will be Mark Templeton, President and Chief Executive Officer; and David Henshall, Executive Vice President Operations and Chief Financial Officer. This call is being webcast with a slide presentation on the Citrix Systems Investor Relations website, and the slide presentation associated with the webcast will be posted immediately following the call. Before we begin the review of our financial results, I want to state that we have posted product classification and historical revenue trends related to our product groupings to the Investor Relations page of our website. I'd like to remind you that today's conversation will contain forward-looking statements made under the Safe Harbor provisions of the U.S. Securities laws. These statements are based on current expectations and assumptions that are subject to risks and uncertainties, such as the impact of the global economic climate, uncertainty in the IT spending environment, risks associated with our products, acquisitions and competition. Obviously, these risks could cause actual results to differ from those anticipated. Additional information concerning these and other factors is highlighted in today's press release and in the company's filings with the SEC, including the risk factor disclosure contained in our most recent annual report on Form 10-K, which is available from the SEC or the company's Investor Relations website. Furthermore, we will discuss various non-GAAP financial measures as defined by the SEC's Reg G. A reconciliation of the differences between GAAP and non-GAAP financial measures discussed on today's call can be found at the end of today's press release and on the Investor Relations page of our website. Now I would like to turn it over to David Henshall, our Chief Financial Officer. David?
David James Henshall: Thanks, Eduardo, and welcome to everyone joining us here today. As you can see from the release, we finished off the year with great momentum across all of our businesses, delivering $619 million in total revenue, $126 million increase to deferred revenue, $170 million in cash flow from ops, and adjusted EPS of $0.78 a share. For the full year 2011, we had record performance across all of our major metrics: total revenue was up 18% to $2.2 billion; product license revenue increased more than 20%; GAAP EPS was up 28% to $1.87; while adjusted EPS was $2.48 a share. So we're continuing to drive leadership across desktop virtualization. We're delivering innovative new technologies in cloud networking. We're expanding the breadth of our SaaS products to facilitate changing work styles. These are all trends that can be clearly seen on our results. So drilling into the numbers for Q4. Revenue from new license sales was $229 million, up 17% from last year, clearly led by the demand for the desktop solutions. License update revenue increased 9%, driven by Subscription Advantage renewals and a desktop Trade-up Program. Technical services increased 34%, again due to strong demand for consulting, and our Software-as-a-Service business grew 21%. From a geographic perspective, the Americas region is executing really well, delivering a revenue growth of 16% from last year, total revenue of $278 million. The results in the geo were fairly balanced throughout Q4 with strength coming from both desktop solutions and from NetScaler. And the Americas teams also drove 31 individual transactions over $1 million each, really reflecting the more strategic engagement that we've been building with customers throughout the year. International, the business environment was mixed in Q4, really similar to what we're seeing all year. In EMEA, revenue was up 12% to $171 million. We continue to see solid engagement with big customers at a strategic level, including a number of multiyear commitments and 14 deals greater than $1 million each. However, the demand profile was uneven across the region. And some areas showing caution initiating new capital projects. And finally, Japan and Pacific remain our fastest growing markets, combining for a 37% total revenue growth and more than 40% growth in new product license. Strong teams in these 2 regions are continuing to post terrific numbers each quarter. So overall, a very solid quarter to cap off a great year for Citrix. So now, let's look at the Q4 results within our 3 primary businesses. First, our desktop solutions business, which grew 14% over last year to $369 million, including license growth of 18%. For the full year, license revenue was also up 18%, and at the top end of the range that we set for 2011. So while we no longer break out revenue from the individual products within this business, the growth has really been led by the momentum around desktop virtualization, with XenDesktop now contributing well over half of total product revenue. For more context on the desktop solutions business in Q4, there are few metrics that I think really demonstrate the breadth of adoption we're seeing and the strategic value that customers are placing on desktop virtualization within their infrastructure. In fact, in Q4, there were $35 million plus deals for the desktop products, easily a record and representing customers from healthcare, retail, government, financial services and other verticals. Nearly $100 million of the sequential growth in deferred revenue is coming from multiyear enterprise deals, Subscription Advantage renewals and a desktop Trade-up Program. Individually, there were more than 225 BB transactions for more than 1,000 seats each. There were 40 deals for more than 5,000 seats and 10 transactions over 10,000 seats each in the quarter. And all-in, more than 2,700 new customers bought XenDesktop in Q4, an increase of more than 50% from last year. So customers are looking at desktop transformation as a way to accelerate their business imperatives. For example, in Q4, a Fortune 100 company in the U.S., with over 80,000 employees and aggressive cost focus, buying XenDesktop and NetScaler to begin building out a foundation for mobility, Bring Your Own Device and VDIs more than 3,000 users. Or a Japanese insurance company with offices in 60 cities purchasing 30,000 XenDesktop licenses as part of a major work-life balance initiative; or a large financial services firm in Europe with nearly 20,000 retail outlets, leveraging the Trade-up Program to buy more than 100,000 XenDesktop licenses to support their Win 7 rollout plans. So we're increasingly talking to customers at this level, so the conversations move from technology to business enablement. Some of the important investments in 2011 like VDI-in-a-box, RingCube and App-DNA allow us to provide customers the tools to more efficiently transform their desktop infrastructure, including assessment, migration and delivery of apps and Desktops as a Service to all users in the enterprise. Next, turning to our datacenter and cloud business, total revenue was up more than 21% in the quarter to $103 million, with product revenue increasing 15%. Growth here was again led by NetScaler with license revenue up 40% year-on-year and contribution coming from a number of different areas. First, we continue to see traction driving a cross-sell motion into enterprise account base. In Q4, in fact, we have more than 500 desktop deals, which included NetScaler as part of the solution. Next, our VPX virtual appliances growing more than 65% year-on-year and now contributing about 7% of NetScaler revenue. Third, the FTX platform continues to gain momentum with service providers and large enterprises. And finally, growth from dot com accounts that continue to build out the infrastructure to support large retail into the cloud-based service offerings. All in, the datacenter and cloud business had a terrific year, growing 29%. And the clear stand out in 2011 was the NetScaler business, where we increased license revenue by more than 55% and significantly outpacing the market. Looking at our Software-as-a-Service business, revenue was up 21% to $114 million. The collaboration products, which were up 29%, continue to be the primary driver and now account for over half of our total SaaS revenue. Geographically, the investments we've been making to expand internationally are delivering good results. And in Q4, revenue from international markets accounted for about 15% of the total, which is up from less than 10% 1 year ago. And also in Q4, we launched our solution for cloud-based data named ShareFile, making it easy for businesses of all sizes to securely store, sync and share business documents and files, both inside and outside of the company. So turning to expenses and operations. In Q4, adjusted op margin was 30%, up more than 150 basis points over last year. And included in these results is the dilution from the acquisitions that we made in the second half of 2011, as well as continued headcount growth across 2 main areas. Those areas are, first, expanding our geo -- our go-to-market reach and customer touch to enterprise account managers, consulting capacity and tech support. And second, around product innovation, to bring to market new technologies as well as improving integration of the total solution in order to drive simplicity and better end-user experience. In total, we added 380 new people to Citrix in the fourth quarter with about half coming via acquisition. And for the full year, we hired 1,300 people, bringing year-end headcount to about 6,900. The last item I want to mention is cost of goods sold. As we've forecasted, we've seen a slow but steady increase in COGS as a percent of revenue, and the driver behind this is simply the mix of revenue as we've diversified the business model towards higher contribution from SaaS, hardware appliances and professional services. This is a trend we expect to continue through 2012. Turning to the balance sheet. Cash and investments decreased to $1.5 billion as we spent roughly $150 million on M&A activity and an additional $100 million to repurchase 1.4 million shares. For the full year, we repurchased 6.5 million shares. Offsetting this was cash flow from operations, which was $170 million in the quarter, and nearly $680 million for the full year. The other item to note on the balance sheet is deferred revenue. Deferred at the end of the year was $960 million. And in Q4, as I mentioned earlier, we added $126 million to the total deferred revenue balance, which is by far a record amount for any sequential growth. In fact, both short-term and long-term deferred increased by 23% from the prior year, really reflecting the evolution in customer engagement at a more strategic level. And also, as I commented earlier, we had a number of ELA-style deals in Q4 where customers are initiating multiyear commitments. And based on our revenue policy, these types of transactions are often highly deferred or recognized ratably over the term of the agreement. So overall, looking at the business in total, a great Q4 and 2007 [ph]. We're executing well. We're seeing growth in all of our primary businesses and we're making the investments necessary to extend our leadership position. So finally, I'd like to discuss our current outlook and expectations for 2012. As we enter this year, customer activity metrics and pipeline continue to be very strong. We remain focused on delivering financial results while investing to expand our long-term capacity across our main businesses, plus the new markets we entered over the past 2 quarters. While we expect continued volatility in the demand environment, specifically at EMEA over the first half of the year, we're comfortable raising the high end of our full year revenue guidance by $30 million, based on the strength of pipeline business momentum. And given the long-term opportunity at our markets, we're currently planning to run the business with adjusted gross margin that's flat as compared to 2011, allowing us to invest in 2 primary areas. The first is go-to-market coverage, to increase our market position around the world. And the second, being in the acquisitions that we made late last year in cloud and data sharing markets. And these will include development, consulting and the product specialist teams needed to bring these products to market. So all in, expect these businesses will be dilutive to consolidated earnings in the first half of the year as we build out capacity and then accretive by late Q3, Q4. So for the full year 2012, our current expectations have increased to total revenue in the range of $2.49 billion to $2.51 billion, and adjusted EPS of between $2.70 to $2.74 per share. And for the first quarter of 2012, we currently expect total revenue to be in the range of $555 million to $565 million; adjusted tax rate of approximately 23%; and adjusted EPS of between $0.49 and $0.51. So now I'd like to turn it over to Mark to give you some additional details on the quarter's performance and discuss our ongoing businesses. Mark?
Mark B. Templeton: Thanks, David. Today, I'm really pleased to report another record-breaking performance for Citrix in both revenue and profit, supported by great execution across strategy, innovation and operations. Diversity in products and channels is driving growth, with increases in C-level engagements, SI pipelines and deal flows, up-selling end-to-end technologies and cross selling our adjacent products. You see all this in our results. Acceleration and strategic deals; use of our products as a system; and increased customer touch through technical services. All this strengthened our leadership and collaboration, desktop virtualization and cloud networking, and allowed us to make some important new investments in data sharing and cloud orchestration. We're combining these technologies into a compelling set of solutions that power mobile work styles and cloud services to dramatically improve business productivity, efficiency and agility. We owe thanks to thousands of Citrix's customers and partners for their business, trust and enthusiasm for our vision. I'm really proud of the Citrix team for working tirelessly to accomplish all this, and at the same time, for their recognition as a top 50 best place to work. We're believers, not only in what we do, but how we do it. Growth, amazing products, a special culture, all this is pivotal to our mission, a mission based on a deep belief that people should be able to work and play from anywhere. In the past couple of months, I've been with many customers, partners and Citrix teams worldwide. There was a big takeaway from me. And that's IT organizations are struggling at the intersection of opposing forces, the control of standardization versus the freedom of consumerization, and the legacy of distributed computing versus the flexibility of cloud services. In simple terms, they're realizing the exceptions of the PC Era, things like mobile users, personal devices, wireless access, app stores, SaaS and Cloud Infrastructure, all these have become the new assumption for the Cloud Era. We're in great position to help our customers make the difficult transition to the Cloud Era, with market-leading products to embrace consumerization and adopt cloud services. As we look into 2012, there are 3 significant market forces shaping our plan. First, the mobility imperative; second, the enterprise cloud evolution; and third, the cloud service build-out. So first, mobility. Mobility is fast becoming an IT imperative, driven by the use of personal devices, the economics of flex desking, mandates for workforce continuity and the quest for better productivity. And the Bring Your Own movement is just unstoppable, making device independence essential. Citrix has been a long-time innovator and pioneer in device independence and in collaboration and in mobility, enabling anywhere access to people, data and apps with 3 great products. GoToMeeting, the fastest growing Web collaboration service in the world, creates a high-definition experience that's just like being there, with brilliant HD video, audio and coming soon, Workspaces, for easily sharing documents within project teams. ShareFile, our newest SaaS product, enables secure, easy cloud-based document sharing across all your devices, and with all your colleagues and friends. This team is ramping really well and doing a fantastic job building the foundation of our Follow-Me-Data vision. And finally, there is Citrix Receiver that delivers self-service access to any Windows, Web or SaaS app from any device. We're now seeing around 1 million downloads of Receiver every month. And the newest releases are better than ever. They're beautifully designed, up to 40% faster, and they consume 50% less bandwidth. And soon, Receiver will also deliver the ultimate Follow Me desktops, apps and data experience through integration with ShareFile. Mobility of people, data and apps, it's driving our SaaS business and demand for our vision for the evolution of the enterprise cloud, which I'll touch on next. The promise of cloud computing has clearly captured the imagination of CIOs and business leaders everywhere. No matter where I go, I find customers focused on making their existing datacenters more cloud-like, and exploring secure practical ways to leverage the innovation and economics of external cloud services. Our plan is to help customers drive this evolution with 3 key products. The first is XenDesktop. If you look at any enterprise customer today, it's clear that the vast majority of their apps run on Windows. XenDesktop, with its embedded XenApp functionality, helps customers transform these apps into more flexible, secure and mobile cloud-like services, leveraging their past investments while giving them all the benefits of a cloud delivery model. Next is our newly available CloudGateway, which sits at the front door of the datacenter and unifies the provisioning and security of Windows Web, SaaS and mobile apps through an enterprise storefront. And Cloud Bridge, sitting at the back door of datacenters, making it easy to bridge into the infinite capacity of public clouds with all the security, performance and reliability that enterprise biz require. These 3 products work in concert to help our customers manage the evolution to the Cloud Era in a secure, practical and high impact way. Leveraging our innovative desktop virtualization and cloud-convergence products, and enabling customers to tap into the enormous buildouts of cloud services, which is the third market for us I'd like to touch on. Just yesterday, we learned that Apple's new iCloud service attracted more than 85 million users in its first 3 months. This is astounding. It's clear, we're in the midst of a huge build-out of public and consumer clouds, a build-out that will transform everything we know about computing, creating thousands of new clouds that deliver everything from business and productivity apps to collaboration, desktops, data, core infrastructure and even gaming. Citrix is capitalizing on this historic opportunity with 3 strategic Cloud Infrastructure products. The first is NetScaler. We saw a tremendous growth in gains and share last year. Overall, our cloud networking business will continue to be one of the biggest benefactors of the Cloud Era, as providers look to deliver services with the best performance, scalability, security and economics. Next, our Citrix CloudStack and CloudPortal. Two new strategic products from our Cloud.com acquisition last year. CloudStack helps customers create Amazon-style clouds, the way the world's largest and most innovative clouds are built. And CloudPortal makes it easy to transform those clouds into real, profitable businesses that offer infrastructure, platform and Software-as-a-Service to business customers. To date, more than 2,500 cloud providers, including 4 of the top 5 in the world, have chosen Citrix Cloud Infrastructure. Each new win in these markets puts us in a position to share in their success as they grow. So the confluence of these market forces, 3 forces, the mobility imperative, the enterprise cloud evolution and the cloud service build-out are driving the Cloud Era, and we're perfectly aligned. So finally, I'd like to highlight the key things you can expect from Citrix in 2012. First is intelligent integration across products, licensing and packaging, to deliver simpler, better and more competitive solutions to mobile and cloud markets. Next, increased ROI for XenDesktop through integration of Personal vDisk technology, new HDX-on-a-chip clients and other innovations that will significantly reduce the CapEx and OpEx of desktop virtualization. Third is greater focus on accelerating desktop transformation, including programs and services built around our new App-DNA migration tools. Next, continued investment in go-to-market evolution, with greater focus on direct customer touch, giving us more capacity to drive strategic deals and to cross-sell networking, data sharing and collaboration. And finally, more depth in strategic alliances to drive primary demand in mobility, desktop virtualization and cloud infrastructure markets, along with a larger mix of business from SI and service provider channels. So this is how we're thinking about 2012 in context of our larger, multiyear business objectives and ambitions for growth. In closing, I feel really good about our leadership in some of the hottest markets. I feel really confident about where we're investing and excited about the momentum we carry into 2012. Solutions for Bring Your Own Devices, work shifting, desktop virtualization and enterprise cloud network are at the top of every CIO's priority list, and no one is better positioned to capitalize on these than Citrix. This is how we're helping customers embrace change in business, in IT, and how people work. This end-to-end perspective and focus on mobile workstyles and cloud services are what sets Citrix apart. And now, I'd like to open it up for questions.
Operator: [Operator Instructions] Your first question will come from the line of Adam Holt with Morgan Stanley.
Adam H. Holt - Morgan Stanley, Research Division: I got 2 product questions, but my first is you pretty comfortably outperformed our NetScaler and our desktop license targets in the quarter, but the total license number was a little bit lighter where consensus was. Were there any product areas in the quarter that were not where you wanted them to be?
David James Henshall: Yes, Adam, this is David. The only thing that I'd call out in the individual products would be around our win optimization. If you remember we had a very large government deal in Q4 of last year that didn't repeat in Q4 this year. And so, therefore, we just got a down -- a pretty material down year-on-year comp for that business. But besides that, everything else is looking great.
Adam H. Holt - Morgan Stanley, Research Division: And my second question is if you drill down on the billings number for the desktop, it looked like it was up 20% on a year-on-year basis and obviously, you had a very good second half in the desktop business in general. As you look in the next year, are you -- be comfortable giving any broad ranges in terms of what that growth might be? And what the impact, if any, would be if the shift towards ELAs and more deals going into deferred?
David James Henshall: Sure, Adam. Let me take the last part of the question first. In terms of the shift towards ELAs and large deals, it's still a fairly immaterial component of the overall. It's certainly not a motion that we're driving to a large degree, but really responding to customers and where -- the way they are thinking about transactions. And they tend to come later in the year, in Q3 and Q4, when more of the big deals are concentrated. It's just that customers are looking at longer term, multiyear engagements at some level of transformation. So they're choosing not to buy on a transactional basis, which is fine, and we'll do that, but we'll call them out as appropriate, probably in Q3 and Q4, but I wouldn't anticipate it materially changing the business dynamics. In terms of the overall growth rate in the next year, I don't think it's appropriate to be breaking it into individual line items yet. It's too early in the year, but I think directionally, we certainly feel very comfortable that we'll be able to maintain or expand share, market share per category across all our strategic products, consistent with where we've been in 2011. So that's the way I think about it.
Operator: Your next question comes from the line of Philip Winslow with Crédit Suisse.
Philip Winslow - Crédit Suisse AG, Research Division: Just a couple of quick questions. First, David, I know you're not sort of specifically breaking out XenApp versus XenDesktop. But based on to your rough 50-50 math, it looks like we saw another sort of reacceleration in XenApp growth even versus Q3. And you have just in -- and Mark, a, is that true? And then, b, Mark what do you think is driving them? How do you think about sort of XenApps and XenDesktops or license growth going forward if you're seeing this reacceleration in XenApp? And then just quick question on the cost, you mentioned this increase investment in sales and marketing and service, I wonder if you could give us just a little more clarity on that especially kind of the flow of that over the course of the year?
David James Henshall: Mark, we'll take the first part of the question, then I'll follow up on the cost.
Mark B. Templeton: Phil, thanks. So what's happened over the course of the last 6 quarters is our field teams have really gotten quite good at really talking to Desktop Virtualization and the whole notion of FlexCast, which is our technologies that allow customers to optimize the delivery of desktops and apps based upon the kind of environment they have in terms of the types of exec mobility they want to provide, knowledge worker solutions and even task worker. So we're seeing that sort of very nice consultative kind of sale go on with customers now through partners, et cetera, where we're positioning and they're buying the product that suits what they're trying to accomplish. And that's been our goal all along to really drive a Desktop Virtualization message and practices in the field that allow customers to really get the best solution. So that's what we're seeing there. And I think the better that our teams articulate this, the better the overall growth will be. And we continue to be optimistic and bullish around what we can do in this marketplace, especially as we get bigger deals, bigger customer references. And the focus on FlexCast and what we've done with HDX, et cetera, continues to make a huge impact in rollouts of these solutions with customers.
David James Henshall: And regarding the go-to-market investments, I'd say there is really 3 things. In general, just overall expansion of coverage. And there's many places where we just don't have enough coverage to be able to service customers and customer demand effectively and so that will include enterprise account managers, consulting capacity and tech support. Next area is a focus on partners, and continuing to work with leverage train and sell alongside SIs and other partners to allow us to drive the strategic deals long-term. And then, the third is around the new businesses, and those are our product specialist teams, as well as some consulting and support that we'll be building up right now, and they'll take probably the first half to ramp up. That's why when we look at the new businesses, you'll see some dilution in the first half of the year and then accretive with a strong run rate as we exit 2012.
Operator: The next question will come from the line of Steve Ashley with Robert W. Baird.
Steven M. Ashley - Robert W. Baird & Co. Incorporated, Research Division: I'm actually going to circle back and kind of take a different variation of Adam's first question. It relates to the desktop solutions business. License revenue there grew 18% in 2011, which again was at the top end of the range. How should we think about that, maybe, as we go into 2012?
David James Henshall: Yes, Steve, kind of the way I answered Adam's question. I think it's just too early in the year for us to be talking about year-end targets, because we really don't have a good view on how the category is growing. And so that commentary is really just about category and macroeconomics. I will say that from a pipeline standpoint, both in terms of aggregate dollars and in relative coverage, we're entering the year at a record level, frankly as strong as we've ever been. We feel like our competitive position is unchanged over the past couple of quarters, and we plan to grow at least as fast as the market category over the course of 2012. So it's really more stay tuned as we move into the next couple of quarters. And we've got more granularity in terms of how the environment is playing out and certainly, specific product areas.
Steven M. Ashley - Robert W. Baird & Co. Incorporated, Research Division: Great. And then, I have a product question for Mark. It just relates to the product road map. As we look at last year, you introduced the CloudGateway, the Cloud Bridge, kind of what we'll call the head end or back in the core datacenter. Is there more work in products still to be introduced back in the head end and in the datacenter around building out a more complete solution going forward?
Mark B. Templeton: Steve, I think we have actually the core brands and products that can actually serve us over the course of the next year in those areas. So as we've talked about, I mentioned again, CloudGateway this sort of front door. It provides the connection and for Citrix Receiver, and it's the unification point across all of the kinds of IT services, enabling provisioning, authentication access control, kind of all these capabilities that we think the next-generation IT organization needs there. And then the Cloud Bridge is for the back door. As far as the rest of what goes on in the private cloud, we are highly focused on making sure that enterprise customers can really build out these -- what we'd like to think of as Windows-as-a-Service desktop and app clouds, based upon XenApps and desktop technologies. And the roadmaps around those products actually reflect that. And so, those are our focal points over the next year, and the roadmaps actually add more strength and depth to those products, rather than adding new pieces at the top level.
Operator: Your next question will come from the line of Rob Owens with Pacific Crest Securities.
Rob D. Owens - Pacific Crest Securities, Inc., Research Division: I want to ask on the margin front. Given your guidance, I think it implies roughly 2 years of flat margins here. So how do we think about in terms of -- if there is revenue upside, will that flow through? I'm guessing there's not further acquisitions in the guidance, so that could provide a drag. And just how, in general, should we think about margin expansion moving forward?
David James Henshall: Rob, I think in general, we're maintaining a consistent position to where we've been over the last few quarters. And that is that this is a market where we see tremendous opportunity over the next few years, and therefore it's incumbent upon us to make sure we've got the right level of technology set, as well as market coverage and ways to support customers long term. So that's where the bias has been, and you've seen the results as the growth has accelerated over the last few years. And we see that, that really continuing into the future. As far as the commentary about specific numbers around margin, that's more of a business model discussion in terms of how we're thinking about the shape of our investment. So flat to 2011, which takes you into the low 26 range is the way to model it at this point. And as we go through the year and we're able to hopefully outperform on the top line, some portion of that will flow through to the bottom line in terms of just higher EPS and higher margin expansion. We're certainly not -- we're not operating down to that target per se. As far as additional M&A, and this is -- I think what's embedded in your question is that we've been fairly acquisitive over the course of the last 6 quarters. We did 7 individual transactions in 2011. I think as we look forward, we're in an environment right now that is very rich in terms of great small product technologies, things that can allow us to accelerate our roadmap, et cetera. So yes, we'll continue to be acquisitive, but I think our bias would be towards smaller product features, things. I think it's safe to say that in the short term, I don't see anything that would be not already anticipated in our business model.
Rob D. Owens - Pacific Crest Securities, Inc., Research Division: Great. And as you look at the go-to-market strategy for the desktop business, can you talk about specifically your systems integrator relationship and just where you guys are tracking there?
David James Henshall: Sure. I think SIs are continuing to be a very important part of the story. It's always a work in process. Each quarter gets a little bit better. We keep focus on training and bringing these guys along. And Q4 specifically, contributed about 12% to 15% of total product bookings where deals were fulfilled by strategic SIs. That's up -- actually the aggregate dollars are up about 18% to 20% year-on-year, with the primary contributors being EDS, IBM, Fujitsu.
Operator: Your next question will come from the line of Heather Bellini with Goldman Sachs.
Heather Bellini - Goldman Sachs Group Inc., Research Division: I was wondering if you can talk a little bit about where we are in terms of ROI benchmarks for XenDesktop. And where do you think this needs to be in order to see a reacceleration in growth given the relatively low penetration rates of Desktop Virtualization overall? And I guess, if it's not ROI, what do you think is causing or, I guess, impeding the reacceleration of this business?
Mark B. Templeton: Hey Heather, thanks for the question. So a couple things. First, the business is accelerating and we're very delighted with the performance of it. I think that the single ROI drag has really been on the VDI sort of front, and we've made a tremendous amount of progress over the last 6 quarters in actually reducing the CapEx and OpEx on the VDI component. When you take all of these FlexCast models into account, from completely hosting a virtual app to a VDI-style desktop to streaming a desktop or an app to an endpoint, the total ROI on Desktop Virtualization is quite strong with paybacks in under 12 months, which has really been a driver of our business for a long, long time. So I think that the goal here is to continue to bring the VDI piece down to raise the overall ROI on Desktop Virtualization and make it a lot more consumable across the board. And then, I think that the rest of it is really in the hands of partners, customers and our ability to drive primary demand capacity to deliver technical services to really drive the desktop transformation process. We get some help from like the Windows 7 migration, of course, and now the prospects of a great Windows 8. So we get some tailwinds there. But I think a lot of this is execution and customers' ability to make capital investments, which there's -- frankly, there is an ebb and flow, too, I think as we see in terms of the overall economic environment.
Heather Bellini - Goldman Sachs Group Inc., Research Division: So I guess my view of XenApp license was flat in the second half, roughly speaking, then XenDesktop license was up a little bit better than 40% year-on-year, which -- that was my comment on deceleration. It just looks like over the last few quarters, the trend had been decelerating and it just seems like such a big market opportunity that we should be seeing an inflection at some point.
Mark B. Templeton: Okay.
Heather Bellini - Goldman Sachs Group Inc., Research Division: Maybe I'm not thinking about it the right way so...
Mark B. Templeton: Yes. The way we think about it is -- and sort of the state of the market is sort of transactions, reorder rates and acceleration in new customers, et cetera, and all -- accelerating. That's the way we think about it from a market point of view. I understand why you said that now.
Operator: Your next question will come from the line of Bhavan Suri of William Blair.
Bhavan Suri - William Blair & Company L.L.C., Research Division: Just a couple of questions. Services line has been growing very well, and you've been adding consultants. Can you give us any sense of sort of when you sell XenDesktop, what ratio of that is services revenue vis-à-vis product revenue?
David James Henshall: There's not a ratio I think that holds true. It's on a case-by-case basis. There is -- and you can assume that in a large transaction, we've got a full-time consultant, at least one, working hand-in-hand with that customer for some period of time. I think overall, when I look at the services line, you're right. It's been growing great over the past couple of years really, and just a function of our ability to bring on new heads. And this is representative of the more strategic nature that we're engaged at right now, selling desktop transformation to customers and making sure that they are successful, not only in the design, implementation, migration, et cetera, but also on the back end, when it comes to post-sales support and have long-term success. And so, those have been areas that we've invested in across the board. As much as I didn't want to call out individual line items for 2012, I think that the way to think about that is a decelerating growth in services as we plan right now, and that's just a function of people. Obviously, if we're able to find and attract more capacity on that level, that growth rate will pick up throughout the year as well.
Bhavan Suri - William Blair & Company L.L.C., Research Division: Right. And I guess, David, if you could just also provide a little color, so how does that then work with the SI? I mean, obviously, they want to provider services. So how does that relationship -- and with the customer and the Citrix's consultants and the SIs play out? Just a little understanding, that would be helpful.
David James Henshall: I guess, say, overall, I mean, we still provide a fairly limited amount of the aggregate service that is customer-facing. And that's true for, historically, looking backwards with our traditional businesses, as well as when we engage with SIs. For large deals, big deals, $1 million plus deals, chances are we're engaged side-by-side with the systems integrator or a major partner in those.
Mark B. Templeton: Yes, Bhavan, the things that maybe point out is there are like 3 pieces to these services that customers need and get. The professional services, that are typically upfront around architecture, we're very involved there and very side-by-side with SI. Then, there's a sustaining kind of process, that's really about the rollout and implementation, that's where SIs and our Platinum and other types of partners really take over, where we'll take a backseat. We may have a technical relationship manager that's on-site with the customer. And then, there's this sort of a back end, which is tech support, which we take up -- discussing the larger deals and larger customers, we take up big responsibility there for post-sale technical support. So maybe that helps you understand it.
Bhavan Suri - William Blair & Company L.L.C., Research Division: Right. That's helpful, Mark. And then if I could squeeze one more in. When you look at the kind of service-provider sales you're doing, there is a SaaS component to your sales of XenDesktop. And as I look at that kind of sale, I wonder how is that growing, and sort of that provides a recurring revenue stream that we don't necessarily see broken out of the deferred. So how do you think about that and how fast is that growing?
Mark B. Templeton: Well, the concentration of -- I think you're talking about our Service Provider Network. It's getting to be about almost 2,000 strong, and where we provide Service Provider Licensing Agreements where they rank [ph], sort of buy the -- buy the drink, buy the customer. That's primarily focused around XenApp, okay? And our networking products that work in conjunction with XenApp. That business has actually been really growing off along a very, very nice track. And one of the reasons that we invested in an acquisition like EMS-cortex, as well as some of the things we've done with the Cloud.com acquisition, because we've seen this FP channel to markets, it's an SMB-type customer or a more forward-thinking enterprise, this is how they want to buy product in the future. So we're early invested there and really like the performance. But in the overall numbers it's still going to be, let's say, 1% of our kind of quarterly business.
David James Henshall: Yes. And I'll just add on that specifically, Bhavan, it's running somewhere in that $5 million plus per quarter, and you're right, it's great. It's recurring highly visible revenue.
Operator: Your next question will come from the line of Walter Pritchard with Citigroup.
Walter H. Pritchard - Citigroup Inc, Research Division: Wondering if you could just talk a bit about the high touch model that you're starting to move to on the sales and marketing side and whether or not you're seeing any -- what impact do you expect to see from a revenue perspective and what impact do you expect to see from a cost side? I know you're talking about spending more money.
David James Henshall: Yes, I think you're seeing the impact right now. It's not that much more high touch, but it's really about working with customers that are making a big strategic commitment. And that's everything, as Mark said, from early assessment through migrations through post-sales support. And the impact is showing up in the large deals. I mean that's really the place where you would see it. And if you just look at the metrics that we talked about over the course of the last several quarters, Q3 was a huge record in terms of large deals where you -- I think we booked 40 deals over $1 million. We had 48 in Q4. And if I look into the pipeline, we've got a huge amount of opportunity out there. That's the kind of business we want to be driving with customers because we're moving from a transactional sale to one that is more -- looks and feels more like infrastructure. It's stickier, it's larger, it's a long-term relationship, and it's not on a case-by-case basis. So we're going to keep moving in that direction over time.
Mark B. Templeton: Yes, Walter, I'd just add that this is something that we've been investing in for quite a while. And I think we, in the last year, have seen this huge tick up in these -- in the number of seven-figure deals per quarter, and the year-on-year growth in the transaction count is amazing. And that's a result of the investments we have made. So we'll just continue to do that, which means specializing the sales force more with enterprise relationship managers that specialize in the customer relationship, and understanding where they want to go from a business perspective and how our technology can support that. And then, acting as a quarterback, if you will, to bring in the right product specialist, including FEs and specialists in networking, collaboration, data sharing, et cetera. So that's how we see that playing out going forward, and it's really it's much -- it's evolution is the way we think of it.
Walter H. Pritchard - Citigroup Inc, Research Division: And then, David, just a question around deferred revenue, I think it was alluded to that there's more of these ELA-style transactions, anyway you could help us understand how much more license revenue is going into deferred that maybe 1 year ago, you wouldn't have seen going into deferred that would have taken up front?
David James Henshall: No, I don't know a year-over-year comp and we've really never broken it out that way, but the long-term deferred growth, which was just under $20 million, is the way to think about those multiyear deals. That's usually where it shows up, and it moves around quarter-to-quarter. So I mean, there is not a straight-line trend here. There will be one of those dynamics that you'll certainly see more in the second half of the year because that's when the big deals tend to be concentrated.
Operator: Your next question will come from the line of Kash Rangan from Bank of America Merrill Lynch.
Kash G. Rangan - BofA Merrill Lynch, Research Division: I had a question on the cash flow side. David, it looks like you have fantastic deferred revenue quarter. You've talked about the special improvement. On a year-over-year basis, it nonetheless look like cash flows were down, and it looks like -- it comes to, well, DSOs edged up a little bit. Curious if you can give us a little color, even if just for the deferred revenue increase. It does look like DSOs went up in Q4. Maybe you can just help us understand how to model the cash flows going forward, because you seem to have been a little off in our estimates at least for Q4. And second and final, just to -- not get too focused on the XenDesktop licensing, but we are all using different assumptions to get to what that growth rate was, I know you are trying to steer us away from the granularity there, but if I look at the number of new customers, it looks like Q3 had about 3,000 customers and Q4 about 2,700 customers. At least, based on my, maybe, incorrect assumptions, XenDesktop license growth looks to be about 29%, 30%. Just trying to understand, how you get that confidence, is there something in the pipeline that you're seeing that gives you the confidence that this product family can continue to be a good grower, and not withstanding the fact that you've got some tough comps in 2012. That's it.
David James Henshall: Kash. Yes, you got a few questions in there. So I tell you what, let me just kind of walk through those. As far as the cash flow, DSO or in account -- in AR, you're right, it's absolutely a function of deferred revenue growth. If you look at the nearly $130 million growth in deferred revenue, that's what's attributable to the bump in DSOs. You normalize that, I mean, that's close to 20 days right there, just from growth in deferred revenue. So I guess the real question is the underlying quality of receivables, those are unchanged over the course of last year or so. So as far as XenDesktop and individual products, like I've been saying all year, that it really isn't the right way to be looking at the business to be breaking these things out between individual products because that's not the way we run the business. That's not the way customers think about it. That's not the way we're going to market. We're really focused on selling the right solution or whatever the customer requirement is. And in that case, both XenApp and XenDesktop have a role to play. And so, I've been trying to break away from giving individual product granularity for some quarters now, and in this quarter, I think now that we're more -- significantly more than 50-50 XenDesktop, it's the appropriate time to just start talking more qualitatively and less quantitatively. I will say that a couple of metrics though that I will point out, I think, that will continue to give you some, say, more information on the business. In terms of new customers, you're right, in Q4, there was about 2,700 net new customers that bought XenDesktop, which brings nearly 9,000 for the full year, it's a huge step up from where we were in prior period. You've got, in total, well over 12,000 customers that purchased XenDesktop. And the growth rate for the full year of the standalone business, it'll be north of 50%. So when we think about the forward-looking guidance, or commentary on confidence, it's based on a number of factors, including record pipeline for desktop solutions business, record number of large deals, solid coverage, ratios, competitive position, et cetera, et cetera, so it's all analytically based. And we think that's the right place to be.
Operator: Your next question will come from the line of Michael Turits of Raymond James.
Michael Turits - Raymond James & Associates, Inc., Research Division: Yes, 2 questions. First of all, license update, which had decelerated from double-digit growth and in the high single-digit growth this year. And now I think it was a function kind of the trailing impact of weaker bookings coming off recession. It's -- I think we have reason to expect that, that would start to reaccelerate at this point now that you're getting better bookings. And should we think of that as possibly now reaccelerating into the double digits in the next year?
David James Henshall: Michael, I think you're starting to see that in Q4. The commentary about why it has been declining is exactly right, and it bumped up from about 7% year-on-year growth in Q3 to 9% in Q4. I think it's going to be a gradual increase because we've also got the Trade-up Program that's driving some impact to that aggregate number. But as far as directions, the trend is up from a growth rate perspective. Renewal rates are strong in that program. And the more customers we bring in on the top line from new license sales, the more it just feeds the pool. So, yes.
Michael Turits - Raymond James & Associates, Inc., Research Division: Good. So you're up into the right, good. Second question, just can you give us a sense of how much inorganic growth you might add in 2011 in revenue?
David James Henshall: Yes, not a lot, actually. Most of the transactions that we closed, we did in the back end of the year. And so, you just look at the accounting and the ramp rate. And so it's less than -- well less than 1% of our overall business.
Michael Turits - Raymond James & Associates, Inc., Research Division: I haven't completely thought it through, but any any reason to think of any inorganic in the next year, except from some stuff that might have been done at the end of this year?
David James Henshall: Yes, I think that's really a large part of the business story, as we think about 2012 and a lot of the investments that I talked about, building out these new businesses, including businesses like Cloud.com, like ShareFile, like FTA, that -- while dilutive in the early part of the year, I think we're going to exit 2012 on a revenue run rate that is north of $50 million for those businesses.
Operator: Your next question will come from the line of Ray Melencio [ph] from Barclays.
Unknown Analyst: Can you talk a little bit on the online division on -- you mentioned ShareFile and things like that, the initiatives, what do you see in terms of competitive dynamic because some of the lower end competitors like -- working and seems to be more aggressive on pricing and pushing the solutions there as well? Does that mean there's going to be some change in the competitive dynamic and then as a result, growth rate?
David James Henshall: Yes, Raymond, I think this is -- that's one of the businesses that has always been extremely competitive. There are a lot of different solutions in the market, and including many free solutions. And so price competition has been, always been tough. Our strategy is really about product differentiation. And if you look back over the last couple of years, we've moved from sharing screens as collaboration to including audio and now, high-definition video. And as we go forward, we start to demonstrate how we're using our data-sharing technology really as a platform for new initiatives around Workspaces, which allowed teams to collaborate and create more stickiness, as well as just increase differentiation in the market. And so that's been our strategy there. And ever competing on prices, never a long-term winning strategy, so we've taken the product differentiation, and kind of the customer success and simplicity path. And we think that's the right way to be on.
Operator: Ladies and gentlemen, we have reached the end of the allotted time for questions and answers. I will now turn the call back over to the management for closing comments.
Eduardo Fleites: Well thanks, everyone, for joining the call today. We're really feeling good about where we are, as you can tell. And we look forward to seeing you in 3 months to talk about the business again. In the meantime, happy new year and here's to health and success for all in 2012. Thanks again.
Operator: Thank you for participating in today's Citrix conference call. You may now disconnect.